Operator: Good afternoon, and welcome to the Q3 2021 Knowles Corporation Earnings Conference Call. My name is Emma, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session [Operator Instructions]. With that said, here with opening remarks is Knowles' Vice President of Investor Relations, Mike Knapp. Please go ahead.
Mike Knapp: Thanks, Emma, and welcome to our Q3 2021 earnings call. I am Mike Knapp and presenting with me on the call today are Jeffrey Niew, our President and CEO, and John Anderson, our Senior Vice President and CFO. Our call today will include remarks about future expectations, plans and prospects for Knowles, which constitute forward-looking statements for purposes of the Safe Harbor provisions under applicable federal securities laws. Forward-looking statements in this call will include comments about demand for company products, anticipated trends in company's sales, expenses and profits, and involve a number of risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties in the company's SEC filings, including, but not limited to, the Annual Report on Form 10-K for the fiscal year ended December 31, 2020, periodic reports filed from time-to-time with the SEC, and the risks and uncertainties identified in today's earnings release. All forward-looking statements are made as of the date of this call and Knowles disclaims any duty to update such statements, except as required by law. In addition, pursuant to Reg G, any non-GAAP financial measures referenced during today's call can be found in our press release posted at our website at knowles.com and in our current report on Form 8-K filed today with the SEC, including reconciliation to the most directly comparable GAAP measures. All references on this call will be on a non-GAAP continuing operations basis unless otherwise indicated. Also, we have made selected financial information available on webcast slides, which can be found in the IR section of our website. With that, let me turn the call over to Jeff, who will provide some details on our results. Jeff?
Jeffrey Niew: Thanks, Mike and thanks to all of you for joining us today. For Q3, we reported revenue of $233 million above the midpoint of our guidance, and up 13% from a year ago period, driven by strong demand across our audio and precision device segments. Gross margins improved 41.8% near the high-end of our guidance range, and our earnings per share was $0.45 above the high-end of our expectations. In audio, revenue was up 8% from a year ago period, as hearing health sales increased on strong and market demand. And MEMS microphone sales grew, driven primarily by IoT. Precision device delivered record revenues again in Q3, up 35% from a year ago period, driven by improved demand across a broad range of end markets we serve, and an acquisition we completed in Q2. We also delivered cash from operations of $56 million. Overall, another strong quarter that demonstrates the benefit of our investment in differentiated products to increase revenue across a diverse set of growing end markets, driving gross margins higher and delivering strong earnings and cash flow. Let me now spend some time detailing the trends we are seeing by the end markets in each one of our business segments. In audio, we saw broad based improvement year-over-year in MEMS microphone sales, despite experiencing supply constraints. Hearing Health sales also increased from the year ago period on strong end market demand. As we look forward, we believe recently proposed rules from the FDA on over-the-counter hearing aid, if adopted, will make it easier for people with mild hearing loss to have access to technology to improve quality of life. We expect this new channel to bolster our growth in hearing out over the years to come. We are increasing our capacity to service our traditional hearing aid market and the opportunities for the over-the-counter and true wireless markets. Moving on to precision devices, sales reached record levels again in Q3 with significantly improved gross margins, as demand from medtech, industrial, defense and electric vehicle markets drove strong year-over-year improvement. We continue to develop advanced solutions for mission-critical applications that rely on our high performance capacitors and RF filters, which is yielding solid results. In high performance capacitors, the medtech market drove a significant portion of the year-over-year growth, as demand improved for our high reliability products used in implantable devices and MRI machines. We're also beginning to see a broadening of our customer base in Asia and Europe, as high voltage EV platforms began to go to production. In our filters, our product continue to see strong demand from defense customers, in North America and Europe for communications radar system solutions. We are also beginning to see a number of new design opportunities in 5G millimeter wave telecom. And we secured several prototype orders for small cells in repeater equipment. For the third consecutive quarter, we saw record bookings in PD across a wide array of products giving the confidence we can grow precision device revenue by greater than 15% this year, with the bulk of the growth being driven by organic initiatives. In a moment, John will discuss the Q3 results and the Q4 guide in more detail. But our revenue growth is currently being held back by a number of short-term issues that have recently been in the headlines, which include extended lead times and capacity constraints on semiconductors, and more recently, power disruptions in China, as well as some lingering COVID uncertainty. For the past several years, our strategy has been to focus our R&D investment, capacity expansions and acquisitions in products for growing markets that value our differentiated solutions. This is paying dividend today, as gross margin continues to expand driving increased operating income and cash flows. As these headwinds start to dissipate, we expect the impact of our strategy to be even more pronounced on our financial results. Our team has delivered three strong quarters so far this year. I believe our leadership positions across the markets we serve and our strategy to deliver high value solutions to a diverse set of growing end markets positions us well for the rest of 2021 and beyond. With that, I'll turn it over to John, to expand on our financial results and provide the guidance for the fourth quarter. John?
John Anderson: Thanks, Jeff. We reported third quarter revenues of $233 million up 13% from the year ago period, driven by increased shipments in both the audio and precision device segments. Audio revenues of $178 million were up 8% due to higher demand for MEMS microphones across mobile and non-mobile end markets, and stronger hearing aid sales. Precision devices delivered record revenues of $55 million up 35% year-over-year as a result of organic growth of 21%, and an acquisition completed in the second quarter of 2021. Third quarter gross profit margins were 41.8%, near the high-end of our guidance range and up more than 500 basis points versus the same period a year ago. Audio segment gross margins improved more than 450 basis points, driven by productivity gains, higher factory capacity utilization, and favorable product and customer mix. In the precision devices segment, gross margins were more than 600 basis points of a prior year levels due to productivity gains, improved factory utilization, favorable inventory reserve adjustments and an acquisition, partially offset by higher precious metals cost. R&D expense in the quarter was $20 million, up slightly from the year ago period, but lower than expected due to the timing of new hires. SG&A expenses were $27 million, in line with our guidance range, and up $1 million from the prior year, driven primarily by higher incentive compensation costs and an acquisition, partially offset by lower legal expense. For the quarter, adjusted EBIT margin was 22.6% above the high end of our guidance range, and up more than 8 percentage points from the same period a year ago, driven by higher gross profit margins, improved operating leverage and favorable FX impacts. EPS was $0.45, above the high-end of our guidance range and up $0.21 from the prior year. Further information including a detailed reconciliation of GAAP to non-GAAP results is provided in the financial tables of today's press release, and can also be found on our website at knowles.com. Now I'll turn to our balance sheet and cash flow. Cash and cash equivalents totaled $140 million at the end of Q3. Cash generated by operations in the quarter was $56 million, above the high-end of our guidance due to higher EBITDA and lower than expected net working capital. Capital spending was $12 million in the quarter. Given our existing cash position, and our expectations that we will continue to generate significant free cash flow in the future, we will settle the principal amount of the convertible notes which mature next month in cash. Moving to the fourth quarter, we expect total company revenue to be between $230 million and $235 million, down 4% at the midpoint versus the same period a year ago. Revenue from the audio segment is expected to be down approximately 14% from Q4 2020, driven by timing of customer product launches and supply chain constraints, resulting in reduced MEMS microphone shipments, partially offset by higher Hearing Health revenues. Precision device revenue is expected to be up more than 40% versus the prior year, driven by strong organic growth in the defense, medtech and industrial end markets, and the acquisition completed in the second quarter of this year. We estimate total company gross margins for the fourth quarter of 40% to 42%, up 300 basis points from the year ago period, driven by higher capacity utilization, favorable product mix and the acquisition completed in Q2. Our gross margin expansion through the first three quarters of 2021 demonstrates the execution of our strategy to deliver high value differentiated solutions to our end markets. We expect total company gross profit margins will reach approximately 41% for full year 2021, a record high and approximately 200 basis points above the 2019 levels. R&D expense in Q4 is expected to be between $19 million and $21 million, flat with prior year levels. We’re projecting selling and administrative expense to be between $27 million and $29 million, up $1 million from the year ago period, driven by higher incentive compensation cost and the impact of the acquisition completed earlier this year. Adjusted EBIT margin for the quarter is expected to be approximately 21%. EPS is expected to be within a range of $0.43 to $0.45 per share. This assumes weighted average outstanding shares during the quarter of $95.6 million on a fully diluted basis. Despite the near-term supply chain challenges which are impacting revenue, our actions to improve gross margins coupled with our discipline of our operating expense spending is resulting in an expected increase in full year EPS of nearly 40% above 2019 levels. We're forecasting an effective tax rate of 8% to 12% for the quarter. This range includes a discrete tax benefit related to the filing of our 2020 federal tax return. Going forward due to the potential expiration of a tax holiday at the end of 2021, our future expected effective tax rate may increase to 14% to 18%. We're expecting cash generated by operations in Q4 to be between $45 million and $55 million, and capital spending to be approximately $20 million. Please refer to our press release and to our Form-8K filed today with the SEC for a GAAP to non-GAAP reconciliation. I'll now turn the call back over to Jeff for closing remarks. And then we'll move to the Q&A portion of the call. Jeff?
Jeffrey Niew: Thanks, John. We're increasingly confident about our new and longer-term prospects as our strategy to deliver high value differentiated solutions to a diverse set of growing end market is allowing us to expand gross margins, while driving operating income and producing strong cash flow. We will continue to drive shareholder value through investment in high gross margin products, accretive acquisitions and stock buybacks. Before we move to the Q&A, I would like to announce we are planning on hosting Investor Call in late November to provide an update on our growth opportunities, and our capital allocation strategy, as well as provide new mid-term financial targets. More details will follow in the near future and we're excited about the opportunity to share our plans for revenue growth and gross margin expansion, and what it means for operating margins and cash flow. With that, I'll turn it over to open for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Bob Labick with CJS Securities. Your line is now open.
Bob Labick: Good afternoon. Congratulations on a nice quarter. I want to dig in on a few things you mentioned earlier. As it relates to the supply chain, can you give us kind of a sense of how much of it is international labor chips shortage, and roughly how big revenue hit it is? And then, going from there, how long do you think this will impact you and your customers looking ahead?
Jeffrey Niew: Yeah, so first, I’ll just make a comment. I think we are being cautious in our guidance that we're providing. I think, right now we're kind of in the midst of this, and without going through a ton of detail, I would probably estimate in 2021 this is probably $15 million plus in the back-half of the year. So, some of its in Q3, majority in Q4. But I think, that's probably about a number $15 million plus. It's hard to say, again, we're obviously working with our suppliers, I think it's mainly semiconductor. I wouldn't call at this point that we're having major labor shortages or issues like that. And we have had some downtime on power in China, which had some impact for us in early Q4, late Q3. Some of that seems to have passed right now, but we'll see how that continue through the rest of the quarter. But again, we're being cautious. And I would sit there and say, right now I kind of view as, these things are going to linger around into Q1 for sure, maybe, possibly into Q2. And that's when we start to see these things start to clear up. Again, I'm not going to call this exactly, Bob, but that's kind of what we see right now.
Bob Labick: Got it. Okay, great. No, that's great and helpful color. And then you mentioned the hearing health of the ear over-the-counter market. Can you maybe give us a sense of where the FDA is, how long this could take to be an opportunity for you, and how big the market opportunity might be for you?
Jeffrey Niew: Yeah, I'm not going to speculate on what the government's going to do. I'm just going to talk about how we see this market, though, Bob, and how we see it is incremental. And here's why we see it this way and I think I've talked about this on other calls. But, if you look at that pyramid that we talked about of hearing loss, profound hearing loss, significant hearing loss, mild hearing loss, the most underserved portion of that is mouth hearing loss. And that's also the largest portion of people who have hearing loss. And this is where we think this is going to be targeted. We have some customers who introduced over-the-counter products already into the marketplace and are being sold today. And, I think there's a couple points, I would make. Number one is, at least preliminarily, people were buying the very early days, over-the-counter hearing aid, the average age is much younger than the traditional hearing aid channel, to the tune of 10 to 15-years younger. And I think the positive of that is for us number one is, it brings somebody into the idea of improving the quality of life significantly earlier in their life. And that allows for us to have again, multiple cycles of technology and buys of hearing aid over time. So it increases the TAM, it really increases the TAM, both because you're bringing new mild hearing loss people in, but also at a younger age. And so to speculate on how big this market is, I would be kind of -- I would probably say that the overall hearing aid market is roughly 15 million units a year. That's kind of the rough size of the market. I would be probably thinking next two to three years, this could be a couple million 2, 3 million hearing aids a year. And we're very encouraged last piece, about the idea here that that if you look at people have introduced products to the market, they're not focused on costs, they're focused on performance. And that's a really important point for us, right?  We want -- people are focused on performance, because, first of all, you don't want to turn people off with their first experience with a hearing aid by somebody buying something cheap, but also because they value our high value products, whether it be in microphones, or in our speakers and receivers.
Bob Labick: Okay, great. Thanks. And then one last one and I'll get back in queue. But, obviously showing a lot of success in the precision device market and both organically but through acquisitions you've made in the past too. Can you just give us a sense of the M&A environment out there? And if there's opportunities for you with your pristine balance sheet now to continue to make some acquisitions in precision device?
Jeffrey Niew: Yeah, I would say the funnel is pretty active. We're very active within the M&A area. But on the reverse side, I would also say the valuations are quite high. And, I think, from my perspective, it's really important, especially at the type of valuations are that we're extremely disciplined about what we're going to do. I think, the acquisition that we did earlier this year has been very successful. The three or four other ones that we did although since ‘17 have all been successful. We want to keep up that track record. And I think the point I would just say is, I'm hopeful that we can get some more acquisitions done over the next 18-months. But just keep that in mind is that we are trying to be very disciplined about valuation.
Bob Labick: Got it. Super. Thanks very much.
Operator: Your next question comes from the line of Suji Desilva with ROTH Capital. Your line is now open.
Suji Desilva: Hi, Jeff. Hi, John. Congrats on the cash generation and the margin execution here. So, first thing maybe on the gross margins since we’re there. What are some of the key factors that are driving this strength? I know you have an event coming up to talk about it, but what -- how sustainable is some of the improvement that you've seen?
John Anderson: Yeah, good question Suji. In terms of the audio segment, year-over-year our gross profit margin improvement is really driven by to a great extent is mix, specifically a higher proportion of MEMS microphones shipped for non-mobile applications, also growth in the hearing health business. Those are both probably key drivers, obviously, we're also running our factories at pretty high levels, 90% plus, in terms of capacity utilization. I'd say those are probably the main things. We've also been really successful, and we're paying higher price for chips. We've been pretty successful at passing those costs on to our customers. With PD, I think it's similar, mix is really helping, higher proportion of sales going into higher margin medical and defense applications. And then they really made a lot of progress on productivity gains within the factories, and really optimal lot sizes, reducing scrap and excess and inventory. So it's some blocking and tackling, but it's also some really favorable mix.
Jeffrey Niew: Yeah. And, so let me just make me a little bit broader top-line, given you the detail, like what's going on, like right now. But, I got, I think we have talked about this Suji, over the last couple quarters, three, four quarters about where we're investing, our R&D resources, where we're investing our CapEx, and we're really trying to focus on non-commoditized products, right. And what's happening is, as we get more of these products into the marketplace, we spend more money in these areas, you're seeing that in terms of the mix.
John Anderson: Just to finish up Suji, with respect to -- I noted in my script that I'm confident that we'll be at or maybe even slightly above 41% for full year 2021. In this Investor Call we have later in the quarter, we'll talk about opportunities to expand gross margins further.
Suji Desilva: Okay, look forward to that. And then a couple questions on the supply constraint. In terms of the lead customer and the mics, I'm wondering if the ordering patterns would kind of have some of the ordering that might happen in the fourth quarter push out to the first quarter. If that's not the way this would play out, given the constraints, any color there would be helpful?
Jeffrey Niew: Yeah, I'm not going to comment specific to one customer. But here's what I'd say relative to that, we all know that the timing of the launch is slightly off from last year. It was delayed, there's COVID related issue this year, it was earlier, it was more like a traditional pattern. But I think, let me just generally, and again, not to a specific customer, but I would say first, the $15 million that I kind of said earlier that we could have shipped more is what we are being constrained by. I'm not trying to quantify here, what our customers are being constrained by. And, there's clearly some constraints out there in certain applications with certain products, across the customer base. But that's not even quantified in the $15 million. The $15 million, for the back-half is really what we think we could have shipped more if we could have gotten or built more microphones.
Suji Desilva: Okay. That's helpful clarification. And then lastly, on PD, the bookings visibility very strong there. I'm wondering if any component of that is related to supply constraints and customers trying to cover their supply needs, or how much of that versus the growth that in the bookings, it's really driving that?
Jeffrey Niew: I would say, the vast majority of the growth, we don't see it that way. And let me just kind of bring this out here, we kind of have an industrial distribution kind of piece of business, that one piece within PD, there could be some more ordering than we normally would see. But when you start thinking about defense or aerospace, the majority of this is all custom products they're ordering for. And we don't really have a supply constraint in that area. The Life Sciences stuff, I don't see that, I don't think that there's a lot of custom there. Automotive again, custom. I don't really see this, at least in our minds, that the vast majority of the growth, and again, I would say this industrial/distribution business, which ends up being about 15% of the business, that area could be expanding at a faster rate maybe than is actually the demand is there. But, the rest of the business, I think is pretty solid.
Suji Desilva: Okay. Thanks for the color, Jeff.
Operator: Your next question comes from the line of Tristan Gerra with Baird. Your line is open.
Tristan Gerra: Hi, good afternoon. You talked about passing higher costs to customers, and could that provide a fairly different pricing outlook for next year? In other words, could pricing be up next year as a result? And should we view this as a top-line contributor?
Jeffrey Niew: Well, I guess what I would say is that, I think it's a little too early to make that call yet. I think we're going to have to see as we get through, and I always pick this point in time, we got to get through the holiday season here in the U.S., and then Chinese New Year, and then see where things stand. I mean, in spite of everything is going on, China's still weak for us. I mean, it's still weak for us, we'll see how this kind of develops as we get closer to Chinese New Year. But it's still quite weak. I would say, we talk a lot about MEMS mics in the pricing environment, passing on costs, but the pricing environment, in my mind, in both PD and hearing health has been reasonably favorable. So, I think, overall, again, I guess this goes back to what we said a few questions ago, is that, the more we focus on non-commoditize portions of our market, the more positive the pricing will become and gross margin [indiscernible].
Tristan Gerra: Okay, great. And then any update on the balance some extra speaker? And where do you stand in terms of finalizing that automated factory in the Philippines?
Jeffrey Niew: I'm glad I got that question, Tristan. So yeah, so the team is there. I just saw actually a video with the first products coming off the line. Obviously, it's not fully qualified yet. But we're expecting to be shipping to customers this quarter. So that's the expectation right now that in Q4, we'll start shipping off the automated line. And if you think about it, as I said it before, it's been touch and go for so long. And I thank the teams that have gone there. By the way, just the teams maybe there's some that are listening there in the Philippines, they had a quarantine for seven days when they got there before they could go into the factory, which I know is a total pain in the neck. And so I appreciate the teams willing to go there and do that. But we expect that as design wins start to ramp, we probably won't see full utilization of the capacity in the first-half of next year, we'll start ramping closer to full utilization in the back-half of ‘22.
Tristan Gerra: Great. Very useful. Thank you.
Operator: Your next question comes from the line of Christopher Rolland with Susquehanna International. Your line is now open.
Unidentified Analyst: Hi, good afternoon. This is actually [indiscernible] for Chris. I just want to follow up on the gross margin question. Obviously, a great progression here, but I'm curious how much more upside the utilization can bring to the table? You already said 90% plus right now. And the hearing health part as well, seems like it's already recovered quite a bit. So what are some of the other drivers that could help you to get to that 42% target?
John Anderson: Yeah, as I mentioned, we're going to give a little more clarity and color on future gross margin expansion. There's a few levers that we'll talk about, mix is one of them, higher growth in I’ll call it the hearing health, the precision device, the non-mobile MEMS mic business, that's one. But we'll elaborate a little more on those drivers in a…
Jeffrey Niew: Let me make couple comments. I think, number one, new products, obviously across all of our businesses we will drive that, number one. Number two, as I think we've talked pretty extensively in our business, we're really not intent on adding capacity to maintain commoditized products of selling. And so I think, that keeps going back to -- obviously, there's mix within what products we’re selling, but there's also the fact that we kind of see is, is that lower gross margin may business kind of falls off the bottom. And we've talked about things like die cells to be able to like service those types of markets. We do think there is some opportunity yet for gross margin expansion. And as John said, we'll go through those details on the Investor Call, we'll have it in late November.
Unidentified Analyst: Sounds good. And then on the inventory side, it seems like for the past couple quarters, you've been building internal inventory, but this quarter, it was down by 24-days. Would you say you're in a comfortable range right now? And should we interpret this as strong demand overall? Or, is it more supply constraints kicking in?
Jeffrey Niew: I think it's a little bit of both. I mean, we do have definitely supply constraint on certain product categories where, if we could build more we would, and we're I would say closer to hand to mouth on inventory and certain products. And there is I think inventory being down, there is beyond the supply constraints, beyond supply constraints there's the issue of this normal seasonality, where I think we go through. In Q1, Q2, we bring raw materials in, and Q2 and Q3, we build the product. And then we have our strongest quarter typically, either in Q3, or in Q4, which drives inventory down. So this is following kind of the normal path that we saw. But we are having constraints that allow us not to build as much as we'd like.
John Anderson: One other point I'd add is to that it's kind of unique to this year, as we're transitioning and MEMS microphone business transitioning to eight inch, so we're carrying a little extra inventory. I'd expect that to go down kind of mid-2022.
Jeffrey Niew: Yeah. And to point out, I would sit there and say, at this point I think we talked about utilization. Because of supply constraints, we are not running in our microphone business at full capacity right now. We're not running at full capacity right now.
Unidentified Analyst: Sounds good. Thank you very much.
Operator: At this time, there are no further questions. Mr. Knapp, I turn the call back over to you.
Mike Knapp: Great. Thanks, Emma. And thanks, everyone, for joining us today. As always, we appreciate your interest in Knowles. We're also going to be participating in the ROTH Conference on November 18, and a Wells Fargo Conference on December 2. So we hope to speak with you then or on our next earnings call. We'll also have more information out on our investor update later in November. So, thanks and goodbye.
Operator: This concludes today's conference call. You may now disconnect.